Operator: Good morning. My name is Cree and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Boise Cascade’s Second Quarter 2021 Conference Call. [Operator Instructions] Before we begin, I remind you that this call may contain forward-looking statements about the company’s future business prospects and anticipated financial performance. These statements are not guarantees of future performance and the company undertakes no duty to update them. Although these statements reflect management’s expectations today, they are subject to a number of business risks and uncertainties. Actual results may differ materially from those expressed or implied in this call. For a discussion of the factors that may cause actual results to differ from results anticipated, please refer to Boise Cascade’s recent filings with the SEC. It is now my pleasure to introduce you to Kelly Hibbs, Senior Vice President, CFO and Treasurer, Boise Cascade. Mr. Hibbs, you may begin your conference.
Kelly Hibbs: Thank you, Cree. Good morning, everyone. I would like to welcome you to Boise Cascade’s second quarter 2021 earnings call and business update. Joining me on today’s call are Nate Jorgensen, our CEO; Mike Brown, Head of our Wood Products Operations; and Jeff Strom, Head of our Building Materials Distribution operations. Turning to Slide 2, I would point out the information regarding our forward-looking statements. The appendix includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA and segment income to segment EBITDA. I will now turn the call over to Nate.
Nate Jorgensen: Thanks, Kelly. Good morning, everyone. Thank you for joining us for our earnings call today. I am on Slide #3. Our second quarter sales of $2.4 billion were up 97% from second quarter 2020. Our net income was $302.6 million or $7.62 per share compared to net income of $33.6 million or $0.85 per share in the year ago quarter. In second quarter 2021, total U.S. housing starts increased 43% compared to the same period last year. Single-family housing starts, the primary driver of our sales volumes, increased 42%. During the period, our associates and both businesses performed with focus and dedication to capitalize on the strength in residential construction and delivered exceptional operating and financial results. Our Wood Products manufacturing business reported segment income of $213.8 million in the second quarter compared to $17.1 million in the year ago quarter. Wood Products benefited from historic plywood pricing levels and improved sales realization, EWP sales realizations and volumes compared to last year’s second quarter. Wood Products also continued to focus – continued efforts to increase manufacturing production rates to align with strong end product demand, particularly for our EWP business. Our Building Materials Distribution business reported segment income of $206.3 million on sales of $2.2 billion for the second quarter compared to $43.2 million of segment income on sales of $1.1 billion in the comparative prior year quarter. BMD’s results were favorably impacted by higher commodity Wood Products pricing, driven by continued strength in new home construction activity. Commodity lumber prices fell sharply in the back half of the quarter, and Kelly will speak to the inventory valuation adjustment we recorded momentarily. As it relates to the general line and EWP product categories, supply constraints remain and demand was strong with the exception of a notable pause in demand in the back half of the quarter for products that sell through the home center channel. Kelly will walk through the financial results in more detail, and then I’ll come back and provide our outlook before we take your questions. Kelly?
Kelly Hibbs: Thank you, Nate. I am on Slide 4. Wood Products sales in the second quarter, including sales to our distribution segment were $594.6 million compared to $281.5 million in second quarter 2020. As Nate mentioned, Wood Products reported segment income of $213.8 million in the second quarter compared to $17.1 million in the prior year quarter. Reported EBITDA for the business was $227.9 million, up from EBITDA of $31 million reported in the year ago quarter. The increase in segment income was due primarily to higher plywood, EWP and lumber sales prices as well as higher EWP sales volumes. These improvements were offset partially by higher wood fiber costs. BMD sales in the quarter were $2.2 billion, up 92% from second quarter 2020. Sales prices and sales volumes increased 83% and 9%, respectively. The business reported segment income of $206.3 million or EBITDA of $212.3 million in the second quarter. This compares to segment income of $43.2 million and EBITDA of $48.8 million in the prior year quarter. The increase in segment income was driven by a gross margin increase of $187.9 million resulting primarily from improved sales volumes and gross margins on substantially all product lines, particularly commodity products compared with second quarter 2020. This margin improvement was offset partially by increased selling and distribution expenses of $25.9 million. Included in BMD’s Q2 results is a $12 million lower of cost or market adjustment to inventory resulting from the sharp decline in commodity lumber prices in the back half of the quarter. The amounts for unallocated corporate costs and other items impacting our reported adjusted EBITDA can be found in the tables of our earnings release. The net of those items was negative $10.3 million in second quarter 2021 compared with negative $8.5 million in second quarter 2020. The increase was due primarily to $3.4 million of estimated losses caused by a fire at our BMD Phoenix location. Corporate absorbed these losses in the second quarter as part of our self-insured risk retention program. These losses were offset partially by lower incentive compensation due to award forfeitures after the departure of an officer. Turning to Slide 5, our second quarter sales volumes for I-joist and LVL were up 53% and 22%, respectively, compared to the second quarter 2020. Demand for EWP continues to be strong in 2021, fueled by increased housing starts and a higher proportion of single-family starts. Pricing in second quarter for I-joist and LVL were both up 3% compared with first quarter 2021 as previously announced price increases continue to take effect and certain temporary price protection arrangements expire. We expect EWP prices to continue to increase sequentially during 2021, reflecting pricing actions taken in late 2020 and thus far in 2021. I am now on Slide 6. Our second quarter plywood sales volume in Wood Products was 338 million feet compared to 314 million feet in second quarter 2020. Our veneer and plywood mills operated well during the quarter, allowing us to benefit from unusually strong plywood pricing. The $878 per 1,000 average plywood net sales price in second quarter was well above historical averages, up 206% from second quarter 2020. July price realizations were modestly above our Q2 average because of the length of our order files. However, plywood pricing has since transitioned meaningfully lower as demand has softened, and we plan to take rolling curtailments as and where necessary to assist in balancing supply and demand at our plywood facilities. Moving to Slide 7, BMD’s second quarter sales were $2.2 billion, up 92% from second quarter 2020. By product area, BMD’s commodity sales increased 167%, general line product sales increased 26% and EWP increased 52%. Gross margin dollars generated improved by $187.9 million in the second quarter compared with the same quarter last year. The gross margin percentage for BMD was 15.6%, including the previously mentioned inventory valuation adjustment, up 220 basis points from the 13.4% reported in second quarter 2020. The impact of continued escalating commodity prices in April and May is evident in our sales mix and gross margin percentage expansion. BMD’s EBITDA margin was 9.8% for the quarter, up from the 4.3% reported in the year ago quarter due to our gross margin expansion and improved leveraging of selling and distribution costs. The trajectory of commodity products pricing will have a meaningful influence on BMD’s financial results as we move through the balance of the year. Given continued sharp declines in commodity lumber and panel prices we expect BMD’s third quarter 2021 results to be well below the comparable year ago quarter. I am now on Slide 8. This slide shows lumber pricing was very volatile during second quarter 2021 with rapidly rising prices in April and most of May, followed by sharp price declines during the remainder of the quarter, largely due to declining repair and remodel and do-it-yourself activity, causing hesitancy in the marketplace because of expectations for potential price erosion. With COVID-19 vaccines and easing pandemic restrictions, indications are that people are spending less time at home on home improvement projects, resulting in reduced demand from our home center customers. Turning to Slide 9, although lagging the lumber price declines, the Random Lengths composite panel index reflects sharp price declines beginning early in the third quarter. Current composite panel and lumber prices have both declined by approximately 50% from levels at the end of second quarter 2021. We expect commodity product pricing will continue to be volatile as we move through the rest of the year. Pricing movements from current levels will likely be determined by the strength of end market consumption and industry operating rates. On Slide 10, we have set out the key elements of our working capital. Net working capital, excluding cash, income tax items, accrued interest and dividends payable increased $58.4 million during the second quarter. The increase in accounts receivable was driven by strong sales in June 2021. Inventories increased in both segments, particularly BMD due to the current demand environment and elevated commodity prices. Seasonally higher purchasing activity and extended terms offered by major vendors led to the increase in accounts payable. In addition, an increase in accrued rebates contributed to the increase in accrued liabilities. The statistical information filed as Exhibit 99.2 to our 8-K has the receivables, inventory and accounts payable data broken down by segment for those interested in the detail. I am now on Slide 11. We finished second quarter with $654 million of cash. Our total available liquidity at June 30 was approximately $999 million, which reflects our cash and availability under our committed bank line. We had $444 million of outstanding debt at June 30, 2021. We expect capital expenditures in 2021 to total approximately $90 million to $100 million. Included in our capital spending range is the completion of a log utilization center project at our Florien plywood and veneer plant, a new door assembly operation in Houston, Texas, and expansion of our distribution capabilities in the Nashville, Tennessee market. Our capital expenditure range could increase or decrease as a result of a number of factors, including acquisitions, efforts to accelerate organic growth, exercise of lease purchase options, our financial results, future economic conditions, availability of engineering and construction resources and timing and availability of equipment purchases. Consistent with last quarter, our effective tax rate is expected to be between 25% and 27% in 2021 with ongoing federal legislation activity possibly increasing tax rates in 2022 and beyond. In light of our higher than targeted cash balance, we recently paid a supplemental dividend of $2 per share to our shareholders. After payment of the supplemental dividend, we remain well positioned with sufficient cash and reserve to support internal growth initiatives and anticipated working capital uses as well as opportunistic acquisitions. We will take a prudent approach to capital allocation when evaluating organic and M&A opportunities. As we have demonstrated in the past, if our cash exceeds opportunities ahead of us, we will utilize mechanisms to return cash to our shareholders. Our overarching objective remains to successfully grow our business while generating appropriate returns on shareholder capital. I will now turn it back over to Nate to discuss our business outlook.
Nate Jorgensen: Thanks, Kelly. I’m on Slide #12. The demand environment for new residential construction continues to be favorable, supported by low mortgage rates, continuation of work from home practices by many and demographics in the U.S. We expect strength in residential construction activity to continue in 2021 and into next year. The blue-chip consensus for U.S. housing starts is 1.6 million for 2021. Although we believe that current U.S. demographics support the higher level of forecasted housing starts and many national homebuilders are reporting strong near-term backlogs, labor shortages and supply induced constraints on residential construction activity may continue to extend build times and limit activity. In addition, while the age of the U.S. housing stock and limited home inventory availability will continue to provide a favorable backdrop for repair and remodel spending, we expect the recent decline in home improvement demand to continue near term as travel restrictions are rescinded and pent-up demand for leisure spending occurs. Demand for EWP remains strong, and pricing efforts on EWP are showing solid traction and will help mitigate impacts from lower plywood pricing. As always, we will continue to focus on innovation to reduce our cost as well as establishing products and services to address market opportunities in the commercial use of mass timber. In the distribution arena, BMD has done a terrific job of executing and responding to market opportunities at the local and national level. Declines in commodity products, products pricing will pressure near-term financial results, but I’m confident in the BMD team and their ability to effectively manage the impacts of a rapidly changing commodity price environment without sacrificing customer service. Our balance sheet also affords us the ability to continue to pursue growth opportunities with BMD. As we wrap up our formal comments, I want to express my appreciation for the focus of our associates have maintained on safety as we completed one of our safest quarters on record. I also want to especially recognize our associates at our BMD branch, Phoenix branch. An early June fire in adjacent properties spread through to our location, and I’m inspired by their efforts to minimize disruption and stay dedicated to our customers and suppliers. Our proven values of integrity, safety, respect and pursuit of excellence has served us incredibly well as we’ve navigated through the pandemic and will continue to be our foundation moving forward. We will continue to make sure we use our operating and financial strength to the benefit of our customers, suppliers, communities and shareholders. Thank you for joining us today and your continued support and interest. We would welcome any questions at this time. Cree, would you please open up the phone lines. Cree, are you there?
Operator: Yes, can you hear me? My mute button was on. Yes, okay. And I was opening the line of Mark Wilde with BMO Capital Markets.
Nate Jorgensen: Good morning, Mark.
Jesse Barone: First question, can you just kind of talk more about your EWP, what you are seeing order file wise kind of the progress of the price increases rolling through. And if you are seeing any kind of substitution effects kind of going through as the price increases roll through?
Kelly Hibbs: Yes, hey, Jesse, this is Kelly. So, yes. So in terms of EWP, volumes in EWP pricing and order files continue to be strong. Demand outlook consistent with single-family starts continues to be strong. And then the pricing actions that we’ve seen through the end of 2020 and into 2021, we continue to expect to see sequential price increases in EWP. We are expecting – if I direct you to Q3 versus Q2, the guidance we give is high single-digits for EWP price increases moving forward Q3 to Q2. And then in terms of substitution back out of EWP, we really haven’t seen or experienced that, Jesse. If you think about the constraints on labor out at the homebuilder level, EWP is just a much higher value proposition in terms of reducing the labor required to install the floors. And so we just haven’t seen anything there.
Jesse Barone: Great. And then have you seen any kind of loosening around veneer, I know it was kind of a constraint the last couple of quarters?
Mike Brown: Good morning, Jesse. It’s Mike. Unfortunately, the answer is no. I think that’s still one of the major bottlenecks as it relates to making EWP for all the principal manufacturers. So, I think as you are already aware, we are fairly much self-sufficient in veneer supply, which is one of the reasons we have been able to increase our production quite significantly over the last 12 months. But open market veneer supply, at least in the last little while, hasn’t changed at all from where it was during the prior quarter.
Jesse Barone: Great. And then last one for me, could you just add some color around BMD kind of what you guys are doing to mitigate the margin compression that you are going to see in Q3 over Q2? Thanks.
Kelly Hibbs: Yes. So yes, we did speak to the $12 million inventory valuation adjustment we had, and that’s principally lumber, which really tipped over kind of late May and into June. In terms of what we’re doing to mitigate, we’re in the market every day buying and selling. But I would tell you, we are certainly taking a forward view and looking at what’s ahead of us to try to not get long. But as Nate mentioned, we’re not going to sacrifice customer service in the meantime. So it’s kind of that balancing act, if you will, to make sure we’re servicing our customers’ needs but also not getting too long. And so as moving forward, it’s something we’re obviously spending a lot of time on. And we have some exposure still with lumber and panels given what commodity prices have done since end of second quarter.
Nate Jorgensen: Jesse, it’s Nate. Maybe just one thing to add to Kelly’s comments is that when you think about a market that’s in correction like commodities, kind of the risk reward people will tend to go short. And they’ll become that much more dependent upon distribution in terms of end market services. So instead of buying trucks or railcars, it’s maybe units and trucks. And so that still supports our distribution business incredibly well in terms of kind of moving through the process. So, we expect velocity to be good in part based on customers managing their risk and again, probably wanting to stay short at least for the time being.
Jesse Barone: Great. Thanks, I will turn it over.
Nate Jorgensen: Thanks, Jesse.
Operator: Our next question is from Susan Maklari with Goldman Sachs.
Nate Jorgensen: Hi, Sue.
Charles Perron: Hey, good morning. This is Charles Perron in for Sue today. Thanks for taking my question. I guess, first, I would like to go back to the outlook on demand. We’ve heard from some industry participants of early sign of stabilization in DIY lumber demand. I was wondering if you can share a perspective on the outlook for framing lumber at this point? And how do you expect the environment to play out in the second half, considering at the same time the strength that we see in the new residential construction?
Nate Jorgensen: This is Nate. I’ll start. And I think overall, in terms of the framing side of things, if you think about kind of the trends with single-family to start with, single-family remains strong. And I think builder confidence has remained elevated. And when you look at single-family starts as compared to, for example, multifamily, the consumption of frame materials is significantly higher. So I think we feel good about the single-family builder and what is in front of them here through the balance of the year. And so that demand environment looks steady and stable. Repair and remodel, I think as we described earlier, a bit of a correction as we finished the quarter. It feels like there is some momentum regaining on the repair and remodel. And again, I think that’s largely based upon again, the do-it-yourselfer, perhaps spending their time and resources elsewhere. We still believe the professional remodeler remains active through the cycle. So as we look at the overall demand environment for framing material and some of the products and services that we have, we feel good about the third quarter and the balance of the year, in large part, just given the, I think, the strength and momentum that exists with a single-family builder.
Kelly Hibbs: And maybe one more point I’d add to that, Charles, is on the supply side, in Western Canada, there has been multiple producers that have had some disruptions of late due to wildfires in Western Canada. So there is some supply constraints that are recent events. And to Nate’s point, the takeaways on new res and the pro contractors is still pretty strong.
Charles Perron: Got it. That’s very helpful color. Thanks for that. My follow-up is, I was wondering if you could share additional details on the inflationary pressures, predominantly, I guess, in transportation costs. But also, I guess, on the fiber side, given the overall demand. How should we expect these to impact your business going forward? And what measures can you implement to offset these impacts?
Mike Brown: So Charles, this is Mike. I hope to address the fiber side. So yes, you’re right, there has been some significant pressure on log cost, but it’s more geographically based. So if you look at our Southeastern operations, there really hasn’t been much change in log costs, not in the recent past, really not over – really quite an extended period of time. There are some isolated circumstances where it might be a storm or some disruption, which leads to a short-term spike, but they tend to settle back to the price levels that we’ve seen historically. In the Pacific Northwest, we certainly have seen a significant increase in log costs, specifically as it relates to some of our operations, partly as a general market movement up year-over-year. And also, in some cases, the way in which log contracts are put together tend to be linked to product pricing. And in some cases, they use trailing pricing as a methodology to set the future pricing for either a month or a quarter. So I think in the Pacific Northwest log prices are probably going to be at the levels that they currently had for at least a little while longer. And then it’ll really depend on what happens in the market as really the lumber side of the business tends to drive more the log costs. Transportation side, I mean, I’ll let Jeff speak to that and maybe a little bit in a moment as well. Yes, we’re certainly seeing increases in our transportation costs. I think they were worse maybe 3 months ago than they are today as some of the comments Nate made just a moment ago with a change in the focus in the economy where people are going on vacation and what have you, that’s resulting in less demand, which means there is less stress in the transportation network, specifically, I’m talking around trucking. So we have quite good availability of trucks today compared to 3 months ago, but the pricing is still relatively elevated. And I would say on the rail side, the availability of the rail has been really very good. There is been a little bit of price pressure, but really because it’s done on a contracted basis for the most part and as well as general tariffs. You sort of know what they are because they are published. So I don’t know, Jeff, do you want to – you have a significant transportation component?
Jeff Strom: Charles, this is Jeff. The one component that I would add that Mike didn’t speak to is the ocean freight, and that is still incredibly difficult and challenging and not only is incredibly difficult and challenging, it’s incredibly expensive. But as Mike spoke on the rail and on the truck, it’s eased up.
Charles Perron: I appreciate the color there. And if I can squeeze one last in, I was wondering if you can provide an update on your ongoing investment projects on distribution in Nashville and also the door assembly operation in Houston and at the same time, if you can comment on your appetite to add capacities given the strength that we’ve seen the demand these days?
Jeff Strom: Certainly, this is Jeff again. I’ll start in Houston with that door shop. We’re really excited about that opportunity. It’s about 30 days late, but that door shop should be up and running by the very end of this quarter. In Nashville, that has been a long project. And again, it’s kind of the same time frame. We’re nearing an end on that. We have a few little things to do, and we should have our certificate of occupancy in about the next 45 days and then we will be able to start rolling there. So we’re really excited about both opportunities. As far as expanding, I know we’ve said many times, we absolutely like the door business, and it’s something we like to look, and we’re looking for areas to expand it in. It’s a business that we fit well in. It’s a business that we know we can add – we add value to our customers with. And then as far as locations, we’re constantly looking across our footprint and are there areas where we can serve our customers better or decrease our cost of service, we add a facility there. And then in addition to that, there is a lot of energy right now about our existing footprint that we have, can we expand that, can we add products and services to better serve our customers with.
Charles Perron: Thank you.
Nate Jorgensen: You are welcome. Thank you.
Operator: Your next question comes from Reuben Garner with The Benchmark.
Reuben Garner: Thank you. Good morning everybody.
Nate Jorgensen: Good morning, Reuben.
Reuben Garner: So, I was a little surprised by the strength in the BMD margins in the quarter, just given lumber started to roll over. Was there – I know the panels held in through the end of the quarter. Was there anything else or were the margins just in the first couple of months before that happened so strong that you guys were able to absorb the pressure in the back half? And I guess as a part of that question, I think low double-digit gross margin and something like 2.5% EBITDA margin is the lowest we’ve seen in an environment like – well, we haven’t seen an environment like we’re seeing right now. But in a plummeting lumber price environment, that’s as low as it’s been. Is that a good kind of floor for what to expect for the third quarter? Or any other color you could give for BMD, I’d appreciate it.
Kelly Hibbs: Yes. No. You described it pretty well, Reuben, and I guess to start with your second quarter and the margins we saw. I mean you’re right, we certainly saw some outsized margins, if you will, on commodities in the first couple of months given that the strength in commodity pricing, and then we had some weakness in June, specifically to lumber. And so – but I would also remind you that general line and EWP, the strength of that business is good, and we continue to – we like the margin profile on those product lines. So we – so yes, so you described it pretty well, Reuben, in terms of how I would have framed it up. Now in terms of going forward into Q3, we’ve signaled that we do not expect to hit third quarter 2020 levels when we report third quarter of 2021, just given the strong downdraft in commodity products pricing. And so yes, you referenced back to some history around 2.5% to 3% EBITDA margins when we kind of get to a more – that has historically been what I would say is more of a 3% to 3.5% is kind of been a more normalized rate for us. So it’s all going to depend upon commodity prices from here and how that influences BMD’s results as we get into the third quarter. And is there more pressure to be had and more margin squeeze on the commodity side, or do we find some levelization point, which maybe we’re finding in lumber today, we will see where panels go. So it’s really hard to predict where we might end up third quarter 2021 until we get more visibility through the quarter on commodity products pricing.
Reuben Garner: Can I follow-up, Kelly, and ask it this way? Is there any – I don’t know if you even have this data in front of you, but could you tell us maybe what the gross margin look like for the first month of the third quarter? I mean I assume that’s as bad as it can get in terms of falling prices.
Kelly Hibbs: Yes. We have not closed the books on July yet, Reuben. But yes, I would tell you, the July gross margins were certainly constrained given commodity products pricing.
Reuben Garner: Got it. And then longer term, that 3% to 3.5% normal EBITDA margin, does that – is that still the right way to think about it? And would a higher – if folks assume that lumber and panel prices may be a bit higher than they were earlier in the cycle, would that change what the margin profile of the business looks like at the EBITDA line? In other words, if lumber say, normalizes around $500 instead of $300 to $400, would that lead to more leverage on the SG&A line and a higher EBITDA sort of normal margin level?
Kelly Hibbs: Yes. So I guess I’d answer that a couple of different ways, Reuben in terms of the gross margin percentage, if we kind of get to a normalized level or a more stable level in composite lumber and panel pricing, I would – and we get to a more normal mix in terms of commodity, general line on EWP. I would still direct you towards 12% to 12.5% in terms of what our normal – sort of a normal gross margin percentage profile would be. But yes, you’re right, if lumber is at $500 compared to $300, yes, we would get some operating expense leverage in that environment.
Reuben Garner: Got it. And I’m going to sneak one more in. Given the commodity environment, any help on how to think about working capital, I guess, declining in the back half of the year and just cash flow more broadly?
Kelly Hibbs: Yes. So maybe I’ll speak predominantly to the distribution business. So as this come into distribution business, specifically, I’ll speak to receivables, as business tails off as it has here as we’ve started the third quarter, we certainly get some working capital back as receivables come off. And then inventory would come off some as well due to commodity product prices as well as us just trying to be thoughtful to mitigate exposure that we have. And then as we get into the back half of the year, you’ll typically see the normal seasonal tail down a little bit just to manage inventories relative to the seasonal demand that we will have as we get later into the year.
Nate Jorgensen: Hey, Reuben, it’s Nate. Just one other thing to add is, I think Kelly described it well. I think on the general line of EWP as we think about BMD specifically, those are areas we’d like to add inventory and continue to grow that as we move forward and prepare for 2022. So I think in terms of the refinement, as Kelly described, largely commodity-based. But in terms of our desire to make sure we have got the right inventory footprint in both general line and EWP a really important part of our service proposition to customers as we finish this year and prepare for next year.
Reuben Garner: Perfect. Congrats on the strong results, guys and good luck as we move to the back half of the year.
Kelly Hibbs: Thanks, Reuben.
Operator: [Operator Instructions] Your next question is from George Staphos with Bank of America.
Kelly Hibbs: Hi, George.
George Staphos: Hi, good morning. Congratulations on the quarter. I thought it was a typo when I saw the press release, anyway.
Nate Jorgensen: Thanks, George.
George Staphos: All good. I guess the first thing, to the extent that you could comment, guys, can you talk a little bit about the rolling curtailments, any way to quantify the operating extents that you currently have in Wood Products? And then trying to establish maybe some guardrails on wood and recognizing it’s very difficult, and there are no guarantees on adding this. We wouldn’t hold you to it. Should we look at Slide 9 as instructive in terms of where your plywood pricing would be? So I don’t know, $500, $600 as we sit here today lower than the average in 2Q? Or anything you gave us some guidance on BMD. Anything that you could share with us the price has stayed where they are right now, where wood might be for 3Q? So that to start.
Mike Brown: Yes, George, I’ll have a stab at the first one. It’s Mike. Thanks for the comment about the typo. The way we look at the curtailment is sort of like this, usually, we would schedule them as an outage of a week at a time. We really haven’t got down to the nitty-gritty of which mills might need to be taken out when and where yet. But if you think of it like this, if we take one of our five wood mills down for a week, it generally means in rough numbers, depending on the mill, about 5 million feet of plywood less that we would produce. That’s sort of like a very rough average because some are higher and some are less, right? So if you see an announcement because we haven’t yet, we will probably specify them if we have to do this then you can start using that as sort of general guidance. I’m sure you – I know you know this, George. Some of our mills are much larger than that and some are smaller, but that’s sort of a real general guide, okay.
George Staphos: That’s great, Mike. I appreciate that.
Kelly Hibbs: Yes, sure. And then the forward question on plywood pricing, thanks, Mike. So I mean, we alluded to in the script, George, that July pricing was actually slightly ahead of Q2 averages. That was because of the length of our order files. And so yes, then the question becomes, okay, what do you think about August and September. So you’ve seen the random prices. And certainly, they have come off a lot from where we were at the end of the second quarter. And so I guess, directionally, what we would typically steer you towards is kind of 50-50 between the Southern composite and the Western composite and kind of bump that up against how our realizations have compared to those metrics historically would kind of probably get you in the right ZIP code of how it would come out. It’s just – yes, it’s really hard to predict right now because we’re kind of right on the – we’re in the middle of the storm right now.
George Staphos: Understood, Kelly. And I do now remember that you said that about July, sorry, I missed that earlier. With the BMD guidance, and thank you for providing that, what are your assumptions, key assumptions in terms of pricing across the commodities? So should we assume again, lumber is holding at these levels going forward? What’s built in there? Obviously, EWP you’re assuming goes up, but anything else that you could give us to help us adjust as needed perhaps as the quarter goes on?
Nate Jorgensen: George, it’s Nate. Let me – I’ll try to – I think if you maybe start with both general line and EWP. I think both volumes and pricing will be strong. So I think that sets the kind of the framework for those obviously two very important products. I think on commodities, when you look at lumber, I think the view is, perhaps have found or near the kind of the bottom. And we’re not, at this point, maybe assuming anything dramatic from here, but I think it’s stabilized on the lumber side. In being in plywood, probably the tale of two different stories there. I think OSB has so much more tied to single-family construction. So maybe that will feel – look maybe a little bit different as compared to lumber and perhaps plywood. But as Kelly described, we’re kind of right in the middle of that change, and it’s really kind of hard to provide any additional context on that. As I mentioned earlier, George, we still feel good about the takeaway in terms of what’s happening. And again, as customers manage their risk, commodities, they are looking to BMD as a relevant solution to that end. So volume continues to flow. It’s just a matter of kind of getting through this correction. Again, I think we’re in the middle of the panels, and I think we’re largely through it and perhaps on the other side of it relative to lumber.
George Staphos: Last one, and I’ll turn it over. To the extent that you obviously have a pretty good window into this, where do you think inventories are in the trade right now on commodity products? Are we below average, above average? Are you getting any sense that people are coming in now with a sense that perhaps pricing has stabilized. And from a precautionary standpoint, it might be a good time to rebuild. And similarly, are you seeing a little bit more activity and pull through at the DIY channel from some of the big box retailers? Thanks guys and good luck in the quarter.
Jeff Strom: George, this is Jeff. I’ll just start that with this. On the – breaking into two, on the general line and EWP side, the inventories across the channel, they are very lean, and that’s a universal thing everywhere. On the commodity side, what we’ve heard from all the locations is, it really is a mixed bag. You have some accounts that are still heavy with inventory that need to move them off and then you have some that are very lean and poised to buy. Once they are – the fundamentals that you hear from everybody though, is that the demand is going to be incredible coming once we find a trading level. And then on the do-it-yourself, as Nate mentioned, there is two different types over there. You have to do-it-yourself person, the homeowner, you have the repair and remodel person and the different variety of products that we sell into those markets is very vast. So for us, that business is still strong, but the do-it-yourself person. There is – we’re hearing of more takeaway on the commodity side, but on the general and EWP products is still very strong.
George Staphos: Thanks, Jeff.
Operator: And at this time, there are no questions.
Kelly Hibbs: Okay. Thank you. We appreciate your interest, and we look forward to talking to you next quarter.
Operator: This concludes today’s conference. You may now disconnect.